Operator: Good day, everyone and welcome to the Golfsmith International Holdings Inc. First Quarter Fiscal 2012 Earnings Conference Call. Today’s call is being recorded. For opening remarks and introduction, I would like to turn the call over to Jean Fontana of ICR. Please go ahead, ma’am.
Jean Fontana: Thank you. Good afternoon everyone. Thank you for joining us today to discuss Golfsmith International Inc. first quarter 2012 earnings results. As a reminder, our presentation includes, and responses to various questions may include, forward-looking statements about the company’s financial results and about future plans and objectives. Any such statements are subject to risks and uncertainties, which could cause the actual results to vary materially. These risks are discussed in the company’s Annual Report on Form 10-K filed with the SEC. We issued a press release this afternoon. If you have not received a copy, you can find it on our website or by calling Investor Relations at 203-682-8200. Presenting on the call today, we have Golfsmith’s Chairman and CEO, Martin Hanaka as well as President, Chief Financial Officer and Operating Officer, Sue Gove. With that I’ll turn the call over to Marty.
Martin E. Hanaka: Thank you, Jean good morning all. If you permit Sue and I would like first to go over the first quarter results after which time I will comment at a high level regarding yesterday’s acquisition release and then we will take all your questions. I will start with a quarter overview to be followed again by Sue’s operating synopsis. First, the top line was very solid throughout the quarter February was better than January and March is better than February overall 8.5% comps so our core business is very strong. Again it strengthen throughout the quarter and if you looked at it, it was a combination of factors and across all geographies traffic was up mid single digits, AOV was up mid single digits, conversion wise IPT was up slightly, so all these key metrics are all going in the same direction. The environment was very positive mother-nature gave us a nice boost certainly in the Northeast and the Midwest had a very nice impact. And as a result of the weather rounds played were up significantly across the whole industry and that’s in an environment where golfers are down. Since I started getting involved with Golfsmith, the amount of golfers in the U.S. has dropped from $29 million to $25.7 million. So the weather and rounds played made for a nice environment for us to do business in Q1 ’12. As well competition is decreased there is 929 doors at the start of this year versus 1,574 doors in 2007. Last year there were 142 net closing so amounted 16% year-over-year. So the overall competitive environment has eased and has made life easier for us as a result. As a result of that our market shares are up, we are up over 5% in dollars for the first quarter and up 11% in units versus the industry and the 8 key categories to GOLF data tech tracks. So the overall results, I think reflect some loose ends that we cleaned up and is particularly as we move into growth you will see a lot of investment in pre-opening. We’re opening 10 new stores and relocating four as you know, and our D-to-C number reflects the number of system bumps and some operating practice changes, but we’re back on track in May. Those are kind of a high level overview and now Sue will talk about the numbers. Sue.
Sue E. Gove: Okay. Thank you, Martin. Good morning everyone. For the first quarter of fiscal 2012, net revenues increased 11% to $90.5 million compared to $81.5 million in the first quarter of last year. Sales were driven primarily by the five new store openings since the end of the first quarter of last year, as well as the comparable store increase at 8.5% partially offset by a 4.7% decrease in net revenues from the direct-to-consumer channel. We saw sales improve with more favorable weather conditions and we benefited from targeted marketing initiative as well as strong store openings. Our average transaction grew 4%, reflecting the improvement we made to our merchandize assortment, our continued focus on improving our selling culture, with key metrics. Gross profit increased 10.5% to $30.3 million compared to $27.4 million in the first quarter of last year. Gross margin was 33.5% as compared to 33.6% for the same period last year. This 10 basis point decline in gross margin was primarily due to decline in merchandize margins with a sales mix shift towards lower margin product compared to last year as well as the impact of major clearance on apparels, which were launched immediately following the holiday shopping season. SG&A expense increased to $33.6 million in the first quarter, compared to $30.5 million in the same quarter last year. As a percentage of net revenue SG&A was 37.2% in the current quarter compared to 37.4% in the prior year. The increase in dollars relates primarily to the five new store openings, three of which opened in the current fiscal year. Two store relocation’s and an increase in credit card fees driven by increases in sales over the prior year. Store pre-opening and closing expenses approximately $1.2 million in the first quarter of 2012 compared to approximately 300,000 in the first quarter of last year. This increase in store pre-opening and closings was due to store openings in the three new markets and the relocation of our Walnut Creek location as part of our plan to opening 10 new stores and relocate four existing stores in 2012. We ended the quarter with an operating loss of $4.9 million for the first quarter of fiscal 2012 compared to an operating loss of $3.3 million for the first quarter of fiscal 2011. Recorded income tax benefit in the quarter of approximately $1.7 million on a pre-tax loss of $5.3 million compared to the $600,000 on pre-tax loss of $3.7 million in the first quarter of 2011. The effective tax rate was 31.5% compared to 16.8% last year. Net loss totaled $3.6 million or $0.22 per share in the current quarter, compared to net loss of $3.1 million or $0.19 per share in the three months ended April 2, 2011. As of March 31, this year total inventories increased $24.6 million to $123.6 million as compared to $98.9 million at the end of Q1 last year. We had $54.3 million of outstanding borrowings under the credit facility and availability of $35.7 million at the end of the first quarter, this year compared to $42.9 million of outstanding borrowings and to the credit facility last year and $34.7 million of availability. This concludes our financial review. I'd now like to return the call back to Marty.
Martin E. Hanaka: Great, thank you Sue. As you know, we announced yesterday that we signed a definitive merger agreement with Golf Town, Canada’s largest specialty golf retailer for prices $6.10 per share in cash. This provides an immediate value for Golfsmith shareholders and a significant premium over recent trading prices. We’ve long admired Golf Town as a competitor and believe them to be an ideal partner for Golfsmith. All of us at Golfsmith are very excited about this combination and then creation of the world’s largest specialty golf retailer. Sue Gove and I together look forward to the challenge of driving the combined business to the next level. So at this point, we’d like to take your questions. Operator?
Operator: (Operator Instructions) And we'll go first to Harold Citron with Credit Intel.
Harold Citron: Good morning. How are you doing Marty?
Martin E. Hanaka: Very good, thank you.
Harold Citron: Glad to hear it, a couple of quick questions here. in terms of the merger, Golf Town has been private for the past couple of years. how do the two companies stack up comparably in terms of results?
Martin E. Hanaka: Yeah. We’re really not in a position where we can discuss that. we will be filing a shareholder information statement through the SEC. I think at that time, all the background to the deal, the chronology of events and so forth will be clear. but we’re not in liberty to discuss any specifics along those lines at this juncture.
Harold Citron: Okay. In terms of the acquisition, is this being funded solely through Golf Town or is OMERS covering the financing for it?
Martin E. Hanaka: OMERS is involved in the financing, yes.
Harold Citron: Okay, okay. thanks very much.
Martin E. Hanaka: Thank you.
Operator: And we will go next to Casey Alexander with Gilford Securities.
Casey Alexander: Hi, good morning.
Martin E. Hanaka: Good morning.
Casey Alexander: The inventory levels just seem a little bit expanded and guessing that that’s likely strategic, can you discuss that a little bit?
Martin E. Hanaka: Yes, sure. We came up 8.5% comp, so we had a good trend line going and I think you saw us respond to it, the stores are up 11%. So it’s a few points over the trend line that we’re certainly heading into our holiday season. The other reason is, in our central warehousing, we have stage, our new store inventories in a queue. So the fact that we’ve gone to 10 stores of growth and bigger stores in our reloces fueled some extra inventory. And we’re not surprised by it and we’re not worried about it.
Casey Alexander: Okay, great.
Sue E. Gove: So given the income statement represents a three store openings, there are six additional stores that are opening in (inaudible) to do. So those as Marty mentioned are in a staging and on the balance sheet in Q1.
Casey Alexander: Got it. Okay, well, that makes sense. Thank you.
Martin E. Hanaka: Yes, sir.
Operator: And at this time, there are no further questions. I’d like to turn it back to our speakers for any additional or closing remarks.
Martin E. Hanaka: Great, thank you for your time and attention. We look forward to closing the deal in Q3, and thanks for all your support over the years. Have a good day. Bye, bye.
Operator: And this concludes today’s conference. We thank you for your participation.